Operator: Greetings and welcome to the Balchem Corporation Third Quarter 2014 Earnings Conference Call. At this time, all participants are in a listen-only mode. A brief question-and-answer session will follow the formal presentation. (Operator Instructions). As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Bill Backus, Chief Financial Officer of Balchem. Thank you, sir. You may begin.
Bill Backus: Ladies and gentlemen, thank you for joining our conference call this morning to discuss the results of Balchem Corporation for the quarter ending September 30, 2014. My name is Bill Backus, Chief Financial Officer, and hosting this call with me is Dino Rossi, our Chairman, President and CEO. Following the advice of our counsel, auditors and the SEC, at this time, I would like to read our forward-looking statement. This release does contain or likely will contain forward-looking statements, which reflects Balchem’s expectation or belief concerning future events that involve risks and uncertainties. We can give no assurance that the expectations reflected in forward-looking statements will prove correct, and various factors could cause results to differ materially from our expectations, including risks and factors identified in Balchem’s Form 10-K. Forward-looking statements are qualified in their entirety by this cautionary statement. The financial information that is referenced in this meeting was disclosed this morning in our quarterly press release at 9:30 a.m. Eastern Time. I will now turn the call over to Dino Rossi, our Chairman, President and CEO.
Dino Rossi: Thanks, Bill. Good morning, ladies and gentlemen, and welcome to our conference call. This morning we reported record consolidated net sales of $160.5 million which resulted in record net income for the quarter of $15.2 million or $0.49 a share. As disclosed in this morning’s press release, these third quarter results include items relating to the acquisition of SensoryEffects that impacted our results. As a reminder, on May 7, Balchem acquired SensoryEffects, a privately held supplier of customized food and beverage ingredient systems. We are happy to provide additional details to you on these items as we proceed through the call. As mentioned for the third quarter, we reported earnings of $0.49 per share on a GAAP basis. This result includes several certain nonoperational items that I would like to highlight. Amortization expense is $7.2 million for acquisition related intangible assets are expense in the third quarter GAAP financial statement. These charges are a direct result of the valuation and purchase accounting rules of the noticed acquisition. Consequently, our non-GAAP adjustments exclude these expenses to facilitate in the valuation of our current operating performance and reflect equal comparisons to our operating performance to the prior year period. We also incurred integration cost related to the acquisition totaling $494,000 which were expensed in our GAAP financial statement. I am happy to report that we believe the transaction related expenses are substantially behind us. Our third quarter sales at $150.5 million where 83.2% greater than the $87.6 million result of the prior year comparable quarter. Excluding the impact of SensoryEffects acquisition net sales were up 16% compared to the third quarter 2013. In the quarter, especially product segment generated third quarter sales of $13.7 million and grew 9.9% over the prior year quarter. Animal Nutrition & Health sales at $75 million were up 19.4% over the comparable quarter. Sales in the ANH ruminant ingredient sector were very strong increasing approximately 63% from comparable prior year quarter primarily due to higher volumes sold. Monogastric grade choline product sales were up 1%, primarily due to increased volume sold of choline product sourced from Italian operation in the European and other international poultry markets. Also, lower feed prices, egg sets and chick placements grow out the increase resulting in the broiler meat production forecast for 2015 revised upward to indicate a 2.9% over the 2014 forecast. Sales of industrial grade products were up approximately 27% from the prior year comparable quarter as volume sold to various choline and choline derivatives for industrial applications, notably for shale fracking, increased appreciably. SensoryEffects, formerly our Food, Pharma & Nutrition segment, net sales were $71.8 million, an increase of $59.5 million from the prior comparable year quarter. Net sales from the newly acquired SensoryEffects business contributed $58.1 million to the overall increase. We also realized double-digit growth in sales of encap ingredients for baking and food preservation where certain end markets remained strong. U.S. GAAP reported earnings from operations of $25.3 million increased to $8.3 million or 48.9% from the prior year comparable quarter. On a non-GAAP basis, as detailed in our earnings release this morning, earnings from operations of $32.7 million increased $14.8 million or 82.4% from the prior year comparable quarter. As previously noted, consolidated net income closed the quarter at $15.2 million, up from $11.7 million in the prior year quarter. This quarterly net income translated into diluted net earnings per share of $0.49 as compared with $0.38 we posted in the comparable quarter of 2013. On a non-GAAP basis, and as detailed in our earnings release, our diluted net earnings per share were $0.65 as compared with $0.40 in the prior year quarter or a 62.5% increase. Our consolidated gross profits were $44.5 million or 27.7% of sales in the quarter, down slightly from 28% in Q3 of 2013. Gross margin for the combined SensoryEffects segment was reduced primarily due to product mix more heavily weighted towards the Powder and Flavor systems at SensoryEffects which generates a lower gross margin. Gross margin percentage increase for the Animal Nutrition & Health segment by 1.3% primarily due to a favorable product mix and efficiencies resulting from higher volume. Consolidated operating expenses for the three months ended September 30, 2014 were $19.2 million or 12% of net sales as compared to $7.5 million or 8.6% of net sales for the three months ended September 30, 2013. The increase was primarily due to the inclusion of SensoryEffects operating expenses, increased amortization expense of $5.8 million related to the related to the acquired intangible SensoryEffects access as well as integration expenses of $494,000. Looking forward, we expect to leverage off of our existing SG&A infrastructure and exercise tight control over all controllable operating expenses. Interest expense for the three months ended September 30 was $2.1 million and is primarily related to the senior secured term loan which has a remaining balance of $341.3 million at September 30. During the third quarter, we paid $8.8 million of principal payments under senior secured term loan and we also paid a full revolving loan balance of $50 million. The initial term loan amount of $350 million and $50 in the available $100 million revolver in combination with cash on hand were used to fund the acquisition of SensoryEffects. The company’s effective tax rate for the three months ended September 30th, 2014 and 2013 was 34.6% and 31.7% respectively. This increase in the effective tax rate was primarily attributable to the impact of the SensoryEffects acquisition. A change in the portion relating to state income taxes, income generation and jurisdictions with higher tax rate and the timing of certain tax credits and deduction. As outlined in our earns release, our third quarter third quarter results generated approximately 37 million of adjusted EBITDA in the quarter which translates into approximately $1.18 per diluted share or 23% of sales and is an 81% increase over the comparable prior quarter adjusted EBITDA. Our balance sheet continues to strengthen and our cash flow remains strong as we closed out the quarter with approximately $25 million of cash. I’ve mentioned a lot of moving parts and we’ll be happy to answer questions in a few moments. But first in an effort to detail our consolidated results better for our shareholders, I am now going to have Bill Backus, discuss the ARC Specialty Products and Animal Nutrition & Health segments.
Bill Backus: Thanks, Dino. The ARC Specialty product segment posted quarterly sales of approximately $13.7 million for the three months ended September 30, 2014, as compared with $12.4 million for the three months ended September 30, 2013, an increase of $1.2 million or 9.9%. ARC sales with ethylene oxide products used for medical device sterilization and propylene oxide for industrial applications resulted from increased volumes sold and higher average selling prices which were implemented in response to cost increased of certain key petrochemical raw materials. Our quarterly earnings from operations were $5.3 million, an increase of $458,000 or 9.5%. This increase is principally due to the noted increase in sales. During the quarter, we did realize increases in the cost of certain petrochemical commodities and we continue to incur additional expenses pursuing other new end market applications. In the Animal Nutrition & Health segment, we realized sales of $75 million as compared with $62.8 million for the three month ended September 30, 2013, an increase of $12.2 million or 19.4%. Sales and product lines targeted for ruminant animal feed markets increased by $5.9 million or 63.1% from the prior year comparable period resulting some increased sales volumes of our products particularly REASHURE, NITROSHURE and AMINOSHURE. Favorable dairy economics continue to support strong demand for our products as lower feed prices along with continued strong demands in milk in Q3 were key drivers that should maintain producer profitability for the balance of 2014 and into 2015. These positive indicators provide support for greater expected utilization of our products which will maximize results of production animals. Global feed grade choline product sales increased $285,000 or 1% primarily due to increased volumes of choline products sourced from our Italian operation and sold into the European and other international poultry markets. Sales of feed grade choline sold in the U.S. markets were effectively flat in the quarter. Volumes sold in these markets are strongly influenced by the various dynamics of our customer base predominantly the poultry production industry, but also swine and agriculture markets. North American choline volumes sold typically track closely with broiler chick placements and egg sets, lower feed prices, egg sets and an increasing chicks place to grow out have resulted in an USDA broiler meat production forecast of 2015 being revised upward to indicate a 2.9% increase over the 2014 forecast. Sales for industrial applications comprised approximately 38.9% of sales in the segment as compared to 36.7% for the comparable three months ended September 30, 2013. Industrial sales grew 6.1 million or 26.6% over the prior year period principally due to volume increases of various choline and choline derivatives for industrial applications most notably the shale fracking. Continued strength in this market also resulted in sequential quarter growth of approximately 12%. Our success in this space continues to attract competition from offshore producers. However, we remain confident that these products will continue to show strength in 2014 driving steady to increasing levels of sales as we believe the North American end market will continue to grow. We also continue to evaluate industrial opportunities with existing technology and with other technology determine how we may dive more innovative solutions into this and other markets. Our earnings from operations for this entire segment were $11.7 million, an increase of 25.2% primarily due to higher net sales. We continue to see raw material price volatility and seek to implement price adjustments within our contractual guidelines. I will now turnover the call to Dino for him to discuss the SensoryEffects segment.
Dino Rossi: Thanks Bill. For the quarter, sales of our consolidated SensoryEffects segment reported $71.8 million, an increase to $59.5 million from the comparable prior year quarter. Net sales from the acquired SensoryEffects business contributed $58.9 million to the overall increase as we saw strong volumes in both the powder and flavor systems sector. We've also realized double digit growth in sales of encapsulated ingredients for baking and food preservation where end markets remained strong. Earnings from operations for this segment were $8.7 million versus $2.8 million in the prior year comparable quarter. Excluding the effects of non-cash expenses associated with the amortization of intangible assets, non-GAAP earnings from operations for this segment was $14.7 million. In addition to focusing on the integration of SensoryEffects, we’ll continue to focus on building consumer awareness and the benefits of choline, positioning choline with food and nutritional supplement company as an essential ingredient utilizing the structured function claims awarded to Balchem by EFSA in Europe supporting additional external scientific research and are excited with the recent FDA proposal that an RDI recommended daily intake for choline be accepted, acknowledging that choline is a nutrient of public concern. We are also working on a number of new projects targeting choline inclusion using SensoryEffects technology. Our pharmaceutical delivery development efforts continue. As previously reported, the licensee of our technology being used for treating autism has conducted a successful pre-New Drug Application meeting with the US Food and Drug Administration and is filing its New Drug Application. We continue to work closely with them in support of this filing. In the near-term, this sector remains a net expense for the business segment. We remain committed to organic growth as we are always looking to expand our product offering, end use application and move into new geography. We expect to strengthen our global growth platform particularly in the food and animal nutrition market and are confident that more business can be generated based on the unique portfolio of products that we offer. Our business continues to create good balance yielding profitable growth opportunities across the served value chain. We also remain focused on helping our customers generate reinvestment level returns while maintaining our own operating discipline. We continue to build the financial strength of the company managing the working capital base aggressively and yielding solid financial results to be a quality supplier. Near-term, we remain focused on integrating SensoryEffects, which we are very excited about, while maintaining operational and logistic improvements, new product development and new product introductions across all business segments. We will continue to explore alliances, acquisition and/or joint ventures to build and leverage our strategic direction, technology and strong human asset-base, which has now more than doubled with the SensoryEffects acquisition. These efforts can and will impact operating expense levels beyond the normal levels we have increased in the past, but is consistent with the noted strategy to complement our organic growth. This now concludes the formal portion of the conference. At this point, I will open the call for questions.
Operator: Thank you. We will now be conducting a question-and-answer session. (Operator Instructions). Our first question comes from the line of Mike Ritzenthaler with Piper Jaffray. Please proceed with your question.
Mike Ritzenthaler - Piper Jaffray: Yes, good morning. My first question is around the growth in the legacy FBN business offer really difficult comparables from 3Q ‘13. Is any of that attributable to cross selling with Sensory customers? Are we still too early in the process to make any real conclusions about that?
Dino Rossi: Yes, I think it relates to the legacy part of it, and it’s still a bit early. So when we talk about 16% growth in that legacy group but really I would say strictly that legacy. But certainly with an expectation that the idea of cross selling will bear some good thing here near term.
Mike Ritzenthaler - Piper Jaffray : Sure. And then I guess within ANH, the 63% growth in specialty, was there a continued effect of – within Europe that we saw started to see in 2Q, did that kind or this is the Chinese rate fall contamination issue, did we see some of that efforts in 3Q or we just seeing strong fundamentals or a combination of those both I guess?
Dino Rossi: Yes, so I think we’ve certainly I would say have maintained the position that we had in Q2 as it related to the Chinese rate fall issue that that situation seems to have corrected itself i.e., the Chinese have corrected it. And they have returned to that market place but I would tell you that through all of the issues and transition we have minimally held on to the business that we picked up there and expect to on the go forward basis. And just as a note of point that applies to monogastric revenue than the (inaudible) part of the business.
Mike Ritzenthaler - Piper Jaffray: Okay. All right, that makes sense. And I guess on raw materials I wanted to ask too about maybe could you just update us on the state of supply first on key raws, I guess TMA in particular. Are they a little looser than they were, I would say, the beginning of this year toward the end of ‘13 and kind of what’s your outlook for raws as we ramp up ‘14?
Dino Rossi: Yes, I think certainly a couple of key raw materials are certainly TMA. As in terms of availability, I think that it is available. There have been issues on among its supply and some interruptions that have affected, from a methanol standpoint, the ability to -- production is not the issue but the sourcing at prices that are I’m going to say consistent with what had been for quarter numbers. We once again sink in surcharges in the quarter because of some interruption on supply of methanol. So we’ve dealt with that, that’s reflected in these numbers. I wish I could sit here and say I think it's gotten a whole lot better or corrected. Certainly, the work has been done but I don’t know but I am comfortable to say that we are all on the way to get there on that supply aspect. And as it relates to ethylene oxide and hydrochloric acid still definitely tightness in the market. Again some longer term around with some of the major producers of EL certainly have kept that market pretty snug, and then even over on the HCL market some available supply because certain production that generate byproduct HCL has been a bit soft. So that market has gotten tight around HCL going directly down hall for natural gas fracking has increased as well. So kind of an improvement in that end market for them directly. So then that's definitely snugness is there. And so we continue to work like through it is what I would say at this moment.
Mike Ritzenthaler - Piper Jaffray: Okay. That’s helpful. I guess one last one for me. I will turn it over. This is the one that we get from time to time. On the timeline or execution of the JV with Taminco given the pending acquisition of Taminco by Eastman, is there any effect on how those conversations have gone or on the time line of executing that JV?
Dino Rossi: Yes, I think, our view is that it’s still on track looking at probably Q3 next year. Certainly no indication, I mean in terms of the project, running the project itself has not been influenced by, the sale of Taminco. So we continue to push forward with the idea of having that capacity online in (inaudible).
Mike Ritzenthaler - Piper Jaffray: Okay. Great. Thanks Dino.
Dino Rossi: Thank you.
Operator: Our next question comes from the line of Tim Ramey with Pivotal Research Group. Please proceed with your question.
Tim Ramey - Pivotal Research Group: Good morning. Congratulations on a great quarter. Just a couple of things. As we think about SensoryEffects being fully reflected, now is the tax rate that we saw in the third quarter still, would that be a pretty good approximation for 4Q or ‘15 going forward, somewhere in the 34% or 35% range?
Bill Backus: Yes. Somewhere around 35% approximately is what we’d expect and be in that same effective tax rate the next year also for 2015.
Tim Ramey - Pivotal Research Group: Okay. Given that you paid off the revolver do you have - that probably didn’t make a big change in the interest expense, but do you have any kind of view to what kind of the run rate and interest expense might look like right now?
Dino Rossi: Yes, so I mean, a couple of things come into the play obviously is what's going to happen with rates. I mean we hear about mid next year or maybe in to late next year there is going to be some rate increases. So that’s really certainly could impact us in from the downside. On the other hand, we continue to de-lever and we have some shared pricing with our interest, so that's going to be helpful and our EBITDA, right now where we’re at with our fix for leverage ratio, has come down, so we’re going to see a natural drop in interest rates with the shared pricing. So that's a little bit of a natural hedge for us. And we will continue to look as we generate free cash flow here or bringing the debt down to the extent we don't have a deal on the horizon something we want to do, we will probably pay down some more debt. So right now it’s really hard to see, I mean I sure you see every day interests rates and where they’re at unemployment versus inflation what’s really going to happen and certainly we have no insight other than what we read but our expectation is continuing to use an approximate 2% rate for now is the right thing to do.
Tim Ramey - Pivotal Research Group: Okay, terrific. And then just relative to the monogastric business you cited the USDA numbers. Are we starting this fee anything in short in your business in terms of forward purchases or -- is -- do you see the anticipation of greater unit volume growth in that business or is that still just sort of out there?
Dino Rossi: Yes. I think it's just out there. I mean, as I'm increasing eggs that -- these projections that we talked about are actually relatively new over the last couple weeks that they're projecting that kind of growth. And I think again, part of that is because beef is still tight and beef prices are up. And when they look at meat, meat first being chicken and so whether cheap in stores again, which I think will help to continue to see some uptick there. As far as people going forward with us, I mean, customers are under contract and with certain volumes defined actually are range of volume, so I think based on those contracts that are in place we don't really see anything different right now.
Operator: Our next question comes from the line of Daniel Rizzo with Sidoti. Please proceed with your question.
Daniel Rizzo – Sidoti: Do you have any update on the tumor agreement or where do that -- what’s up with that?
Dino Rossi: No. I don't think any new news to report, Dan. But if -- the program is continuing. There is no information as being bowed in this flowing NDA. Everything seems to be on track. We certainly have conversations on and off with them to be sure. We have really given them everything, they main need as far as the powering is concerned. So continue to get assurances that is on track for sometime next year.
Daniel Rizzo – Sidoti: Okay. And then, you mentioned always looking at alliances in joint ventures and names like that. I think in the past years you mentioned potentially doing something like that and China was our choline production there. Is that completely dead, like is that not even a question anymore?
Dino Rossi: No, I wouldn't say it's completely dead. We still believe that market is a growth market, may be the large -- the best growth market out there as it relate to choline consumption for poultry. So I would never say that it's that and maybe some casual conversations in the background but clearly on the front runner right now.
Daniel Rizzo – Sidoti: Okay. All right. Well, thank you guys.
Dino Rossi: Thank you.
Operator: Our next question comes from line of Andrew O'Conor with Bank of Montreal. Please proceed with your question.
Andrew O'Conor – Bank of Montreal: Heard your comments previously regarding natural gas fracking but has demand or pricing for choline chloride been impacted because of the decline in the price of oil since early September, can you dig to that?
Dino Rossi: Yes. I think it's fair to say that it really had not had an impact, at least not yet. I think your question in concern is a valid one and certainly one that we've had a lot of discussion about here. But to-date, we really have not seen any impact from that. And I know there is a lot of news out there but what price you might see things change. But straight up as it is today, we continue to see a very strong market.
Andrew O'Conor – Bank of Montreal: Okay. Dino, is it possible to dissect where your demand originates from? What parts of United States where natural gas fracking is taking place would be the destination for your chemical? Does that make sense?
Dino Rossi: Yes. Sure. Andrew, I think there is a lot of shell plays out there across the U.S. and in Canada as well. What we know is that our product is making it into many of those, so it's not certain geography. And so, I think we're pleased to see that it continues to be used in the -- and is effectively developing shell plays all across the country. So our view right now based on the flow that we know and I kind of remember some of (inaudible) department sell those into the market through distribution, so we always don't know every end market that it goes to but certainly all the intelligence that we're getting all the way says its moving into all of the major fields. And so, we without issue I don't know if there is any limitation in geography today.
Andrew O'Conor – Bank of Montreal: Thanks, Dino. And then, lastly, Bill. Is it possible to take a stand with the balance sheet will be at the year-end 2014 just cash and total debt?
Bill Backus: Well, so at this point, with that we debt (inaudible) to make our schedule candid here of $8.8 million I mean to the degree we generate. We are generating little more cash flow. Obviously, we can look to pay a little bit down. I don't know that that's what we're going to look to do in the fourth quarter. In terms of the cash flow here for Q4, I mean we continue to do -- I hate to give you a number at this point but we do continue to generate cash, positive cash flow on a weekly basis, including from Century. So our expectations are that the cash balance will continue to build here.
Andrew O'Conor – Bank of Montreal: Got you. Thanks very much. Good luck guys.
Bill Backus: Thank you.
Operator: Our next question comes from the line of Jack Balsam, a Private Investor. Please proceed with your question.
Jack Balsam - Private Investor: Yes. I noticed that in 2013 inside our selling total 590,000 shares throughout the year with no buys, has that continued this year?
Dino Rossi: Well, I think that there certainly has been -- I would say sales for sure but also purchases for sure. So it's going a little bit on both ways. There is definitely some announced defined plans to sell, including myself, Frank Fitzpatrick. They’re just out there in the market well in advance to give public knowledge to that. But is there an aggressive sell in anyway going on, I would say no. So while it may be a little bit of a higher rate than last year but certainly not any kind of mass exit.
Jack Balsam - Private Investor: I see. And I noticed that in the price of the stock today has gone down considerably with the -- with these announcements. And I sort of get the feeling that the market is not happy with the results, which stand (inaudible)?
Dino Rossi: Well, I don't know. I would say early on it went up quite dramatically (inaudible) --
Jack Balsam - Private Investor: I’d like to acknowledge that again with it, but now it stand to $63.11 that was same --
Dino Rossi: Yes.
Jack Balsam - Private Investor: Seems to be celebrating.
Dino Rossi: Yes. I think the volume level is still rather light.
Jack Balsam - Private Investor: Yes. 37,000 shares.
Dino Rossi: Yes. Well, I can't necessarily speak to individual investors or what they're doing, but I don't know I've personally got those pretty good numbers. So --
Jack Balsam - Private Investor: Yes.
Dino Rossi: How other people will read that and react to that, I can't say yes.
Jack Balsam - Private Investor: Okay. Thank you.
Dino Rossi: Thank you.
Operator: (Operator Instructions) Our next question comes from the line of Tony Polak with Aegis Capital. Please proceed with your question.
Tony Polak – Aegis Capital: You talked about some new-end products on the ARC, could you address that a little or did I hear that wrong?
Dino Rossi: I think it's not so much new product in terms of sales generation right now, Tony, as much as it is a spending money on -- to find opportunity. Projects that we've been working on probably it's a two maybe even some for three years, we continued because we think that there is progress been made. We're not asked publicly promoted with those products (inaudible) because what we wanted is that some of these we knew that there was probably a two, three, four year cycle to effectively do a lot of field trials and what not to prove the products work. So to that end, yes, that has continued for sure. But has that transferred into any other additional revenue if you were supported the 9.9% growth on the business the answer would be no, that's still coming from what we know is the core part of that business today.
Tony Polak – Aegis Capital: Okay. You talked about integrating choline into some SensoryEffects products, could you just tell a little?
Dino Rossi: Yes, I think that a lot of the SensoryEffects product line are Powder and Flavor systems. Whether those are drinks and shakes or other types of nutritional product and so, in fact supply side last year couple of months we were visiting I think three or four different drinks if you will that include choline on the back bone of SensoryEffects product. So great interest from that and we’re going to continue to promote that into the market i.e., now choline being incorporated into kind of that one-stop shop, if you will, where those customers can buy the product if they’re looking for it perhaps no one answers the phone.
Tony Polak – Aegis Capital: Okay. Could you tell us what the D&A was for the third quarter depreciation amortization?
Bill Backus: Well sure. It’s for the three month is $10.1 million.
Tony Polak – Aegis Capital: Okay. And could you address whether China and choline from China is that like new at all?
Dino Rossi: It’s still there, Tony. I wouldn’t say that it has materially changed quarter-over-quarter, we continue to track it. It’s a decent volume, if you will, but I would not say that we've really seen the numbers grow of any consequence here either you can compare, comparative to prior quarter and/or sequentially.
Tony Polak – Aegis Capital: Is there a capacity numbers that you have on choline or you operating at what kind of capacity there?
Dino Rossi: We’re operating as a very, very strong capacity probably about 90% or so.
Tony Polak – Aegis Capital: Okay. And are you still looking at other acquisitions or you just trying to create the Sensory acquisition more?
Dino Rossi: Well certainly busy on the acquisition, I mean the integration of the acquisition, but have looked at a couple of other things here since the (inaudible) and expect to continue to be looking at a few here in Q4. So yes, I think the, I mean as we've already talked in the past about acquisition being part of the strategic growth that’s still the plan even though we've clearly done the Sensory deal.
Tony Polak – Aegis Capital: Great thanks
Dino Rossi: Thank you.
Bill Backus: Thank you.
Operator: Our next question comes from the line of Victor Bonilla with Lawton Park Capital Management. Please proceed with your question.
Victor Bonilla - Lawton Park Capital Management: Hey guys, just kind of a little detailed question for you, I’m having trouble tying something together. In SensoryEffects you guys talked about 13.3% growth in legacy FBN part of the business. That was $12.9 million right? Is that right $12.9 million?
Dino Rossi: For legacy sales?
Victor Bonilla - Lawton Park Capital Management: Yes.
Dino Rossi: Yes, legacy at the end that’s correct $12.9 million.
Victor Bonilla - Lawton Park Capital Management: Wasn’t a FBN a number year ago $12.3 million I mean – I am just looking back to your numbers and it looks to me like the growth is more 4% or 5%? I am assuming it’s my mistake but I can’t think of what it is.
Bill Backus: So on the legacy FPN sales for quarter year-over-year you’re right its about 5% and the 16% legacy sales that we referred to is all in Balchem with Animal Nutrition & Health and ARC also.
Victor Bonilla - Lawton Park Capital Management: So that was actually not the 16% but the 13.3% in the section when you talk about sales of the SensoryEffects segment (inaudible) --
Dino Rossi: Yes, understood. So that’s a very specific sector of the legacy business, that’s the NCAP business for baking and food preservation. So there are other items in the legacy Balchem FPN segment, former segment. So we’re only referring to where we are with the NCAP study used in baking and food preservation there.
Victor Bonilla - Lawton Park Capital Management: Okay. Yes, I can understand now, I guess I just I mean to be honest, it’s not really worded that well because it says, “We realized 13% growth in sales of legacy Balchem particular strength in that ingredient for baking and food product.” I mean I guess that’s you’re saying, it’s fine, I just was wondering what that was, no big deal, I’ll short it up to a language issue. Thanks guys, I appreciate it.
Dino Rossi: Fair point. Understood.
Operator: Mr. Rossi, it appears we have no further questions at this time. I would now like to turn the floor back over to you for closing comments.
Dino Rossi: Thank you. Well thanks everybody for joining in on the call and your questions, all good questions. And as I think I’ve mentioned in the call and even on the press release itself we continue to move forward with the integration process and expect to continue to be able to generate pretty good results going forward. So we look forward to hearing from you all again at the end of the next quarter. Thanks.
Operator: Ladies gentlemen, this does conclude today’s teleconference. You may disconnect your lines at this time. Thank you for your participation and have a wonderful day.